Operator: Thank you for standing by. My name is Alex, and I will be your conference operator today. At this time, I would like to welcome everyone to the WEX Q1 2024 Earnings Conference Call. [Operator Instructions] 
 I would now like to turn the call over to Steve Elder, Senior Vice President of Investor Relations. Please go ahead. 
Steven Elder: Thank you, operator, and good morning, everyone. With me today is Melissa Smith, our Chair and CEO; and Jagtar Narula, our CFO. The press release we issued earlier this morning and a slide deck to walk through our prepared remarks have been posted to the Investor Relations section of our website at wexinc.com. A copy of the release has also been included in an 8-K we filed with the SEC earlier this morning.
 As a reminder, we will be discussing non-GAAP metrics, specifically adjusted net income, which we refer to as ANI, adjusted operating income and related margin as well as adjusted free cash flow during our call. Please see Exhibit 1 of the press release for an explanation and reconciliation of these non-GAAP measures.
 The company provides revenue guidance on a GAAP basis and earnings guidance on a non-GAAP basis due to the uncertainty and the indeterminate amount of certain elements that are included in reported GAAP earnings.
 I would also like to remind you that we will discuss forward-looking statements under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those forward-looking statements as a result of various factors, including those discussed in our press release and the risk factors identified in our annual report on Form 10-K for the year ended December 31, 2023, filed with the SEC on February 23, 2024, and subsequent SEC filings. While we may update forward-looking statements in the future, we disclaim any obligations to do so. You should not place undue reliance on these forward-looking statements, all of which speak only as of today.
 With that, I'll turn the call over to Melissa. 
Melissa Smith: Thank you, Steve, and good morning, everyone. We appreciate you joining us today. The first quarter marked a strong start to 2024 for WEX. We delivered another quarter of impressive financial results including record high revenue for the first quarter, which is a testament to the resilience of our diversified business model in any economic environment.
 Earlier this month, we hosted our annual Spark conference where we brought together industry leaders to demonstrate how our cutting-edge solutions can help simplify the business of running a business. At the event, we showcased how our customers and partners can unlock the full potential of WEX's solutions, highlighting the power of our innovative technology across employee benefits, fleet management and corporate payments. We had record attendance at Spark, which underscores the invaluable role our services played for our customers.  
 Now let's discuss our first quarter results. During the quarter, we achieved revenue of $653 million, an increase of 7% year-over-year. Excluding the impact of fluctuations in fuel prices and foreign exchange rates, Q1 revenue grew 10% year-over-year.
 Total volume processed across the organization in the first quarter grew 9% year-over-year to $57 billion, driven by strong performance in corporate payments.
 Adjusted net income per diluted share in Q1 was $3.46, an increase of 5% compared to the same quarter last year, as a result of strong quarterly revenue and share repurchases. Excluding the impact of fluctuations in fuel prices and foreign exchange rates, adjusted EPS grew 14% year-over-year.
 As a reminder, earnings growth was impacted by exiting our interest rate swaps in December, which Jagtar will discuss later on the call. Each of our business segments demonstrated robust performance during the quarter. Our Corporate Payments segment remains very healthy and continues to grow at a strong pace as purchase volumes increased 29% year-over-year.
 The Travel business continues to grow at a faster pace than the overall market. We have solidified our virtual card offering as a best-in-class solution and build strong long-term relationships with our clients. This approach has positioned us as preferred payment solutions provider to our partners, driving sustained growth and customer loyalty.
 To that end, we recently signed a new long-term agreement with Booking.com, and this agreement distinguishes WEX as Booking's preferred partner. Booking.com first became a WEX customer in 2013, and we now process payments for Booking.com in more than 20 currencies.
 We've also renewed our agreement with HBX Group, one of the largest B2B TravelTech ecosystems in the world. HBX Group and it's a combination division known as Hotel Beds, has been a WEX customer for many years. Going forward, we expect to serve a larger share of their total volume as they consolidate relationships.
 The continuation of these long-standing partnerships demonstrates the strength and reliability of WEX's enterprise-grade technology platform, our broad currency offerings and our deep payments expertise when delivering world-class travel payment solutions globally.
 Among our more than 800,000 active customer relationships worldwide, we are proud to work with 8 of the top 10 online travel agencies globally.
 In the Benefits segment, overall SaaS account growth was lower than normal this quarter, primarily due to the previously mentioned loss of a Medicare Advantage customer. Still the core business continues to perform well and we grew accounts excluding the declines in Medicare Advantage account, 8% compared to last year.
 We are now serving 8 million HSA accounts According to the 2023 year-end report by Devenir, the overall number of HSA accounts grew 5% last year to $37 million. So we continue to perform well compared to the market growth. Based on the overall number of HSA accounts at year-end, this also means that approximately 20% of all HSAs in the U.S. run on the WEX platform as of the end of Q1.
 We also continue to integrate the sensitive health and benefits line of business that we acquired last September. This acquisition positions us for accelerated growth and innovation in the rapidly evolving benefits landscape.  
 Finally, in our Mobility segment, we continue to be a market leader in this space across all of our core markets, and are focused on maximizing the value that we provide to our clients. In addition to the many small businesses that signed up with the WEX in the quarter, we also renewed our agreement with Shell to manage its portfolio of commercial fleet cars across North America. This represents a continuation of agreements first established in 2018.
 In our over-the-road truck business, the market continues to be challenged. But over the road payment processing gallon volumes increased by 1% in Q1 for the first year-over-year increase in the past 5 quarters. Our go-to-market engine continues to add vehicles to the platform with an increase of 4% versus Q1 last year. Jagtar will provide you with the details, but we are pleased to see sequential increase in the revenue growth this quarter.
 Now, I'd like to highlight the progress we've made executing against our strategic initiatives, further solidifying our position as market leader. We continue to be focused on supporting our mobility customers as they transition to EV and hybrid solutions and manage their vehicles in a mix fleet world.
 We have more than 600,000 mobility customers globally. Our expansive reach, coupled with our expertise and our innovative offerings, positions us as a trusted partner for our customers as they evolve their fleet.
 While we've all read about the slowdown in consumer EV shipments, we continue to invest in this area and roll out our integrated mix fleet solutions because customer interest remains steady.
 In Q1, we've launched the general availability of our at-home reimbursement feature set to complement our public charging access, where we have brought acceptance. We believe that fleet made up of traditional ICE vehicles, hybrids and EVs will be present for years to come. Our solutions are designed to support these mixed fleets with integrated reporting and data.  
 At our Spark conference, we pulled together our most innovative customers with our product development teams in more than a dozen early-stage energy innovation startups. I was left with great confidence that we're helping the industry think critically about how to help customers unlock significant value by integrating EVs properly and how to operate a mixed fleet with WEX as their trusted partner.
 In Q1, we launched the pilot for an enhanced acceptance offering for our North American Mobility customers that combines the best of WEX's fleet solution with a broad acceptance of the Mastercard network. With this offering, customers can manage all of their vehicle-related purchases, including fuel, parts and services, car washes, parking tools and roadside assistance, all with the same data, controls and integrated experience that helps simplify the business of running their business. This helps the small business owner better understand the expenses related to each vehicle, while at the same time, having the controls of a closed loop card to closely manage what is able to be purchased.
 While it's early days, we have hundreds of customers enrolled in the pilot, and are actively gathering insights to inform future product features as we continue to expand the program and increase mobility spend beyond fuel.
 Furthermore, we completed our strategic acquisition of Payzer, a leading cloud-native field service management software in November. As we continue to integrate Payzer into the WEX ecosystem, we remain confident that the platform complements and significantly enhances our existing mobility offerings, supporting our efforts to expand our total addressable market and deliver high value to our customers.
 During the first quarter, we launched our first marketing efforts with Payzer targeted at current WEX customers, and we're testing different sales techniques to drive the best results. We're focused on both targeting Payzer's customer base and marketing the WEX field service management customers. We continue to be very excited about the long-term prospects and are tracking well with our integration efforts.
 Last quarter, we announced that we achieved $75 million of cost savings on a run rate basis through the end of 2023. As we start 2024, we remain very confident in our ability to achieve the full $100 million of our run rate cost savings goals this year.
 As a reminder, roughly half of these savings will be reinvested and have been front-loaded in our year to drive long-term growth in the business in key areas such as digital products, technology and risk management capabilities and tools, generating sustained cash flows to power our strategic growth investments and maintain our solid balance sheet with low leverage remains a top priority for WEX. We continue to do share repurchases as an important and attractive element of our capital allocation strategy, underscoring our commitment to drive shareholder value. Consequently, during Q1, our Board expanded our share repurchase program by authorizing an additional $400 million in repurchases, reflecting our unwavering commitment to delivering long-term value for our shareholders.
 Advancing technology innovation through the business remains a priority. As our ongoing efforts in this area continue to drive cost savings in our margins, while demonstrating our commitment to drive long-term sustainable profitability.
 From an AI perspective, our initial use cases that I updated you on last quarter have yielded positive results, and we're taking steps to accelerate our AI capabilities and support additional use cases in the business. A main area of focus is our customer service operations where we're experimenting with new technologies and driving efficiencies for better customer service.
 We're currently working on reimagining our IVR systems and flows to enable customers to fulfill payments faster and with more accuracy. The advancements we have made with voice-to-text and text-to-speech technology in this area will enable us to apply our learnings and many other areas going forward, particularly as we work to reinvent our call center experience.
 One area we're particularly excited about is the application of AI in our Benefit business. We've been able to leverage AI to deliver personalized targeted messaging to the HSA account holders. And by using predictive analytics, we've helped our customers optimize their HSAs, enhancing their ability to pay and save for health care.
 In closing, I want to reiterate that WEX is well positioned to continue driving solid financial performance in any macroeconomic environment as we have proven over the last several quarters. We expect to deliver strong revenue and adjusted earnings growth this year.
 We remain focused on delivering accretive EPS, driven by high marginal contribution of incremental revenue to our business. Our reengineering efforts that are delivering efficiencies across the enterprise and pricing optimization initiatives that yield strong drop through to our bottom line.
 Finally, we're in a privileged position to make strategic growth investments in our business, while also buying back shares to deliver the most value to our shareholders. This is supported by a solid balance sheet with low leverage.
 As we look ahead to the rest of 2024, I remain confident in WEX's ability to drive growth across the business in the near and long term, backed by our strong position in the market and strategic initiatives in place.
 With that, I'll turn it over to Jagtar to walk you through this quarter's financial performance in more detail. Jagtar? 
Jagtar Narula: Thanks, Melissa, and good morning, everyone. We reported a strong first quarter with record high Q1 revenue. Our adjusted EPS results show continued execution against our strategic initiatives even against a year-over-year decline in fuel prices.
 Now let's start with the quarter results. For the first quarter, total revenue was $652.7 million, a 7% increase over Q1 2023, with more than 80% of revenue for the quarter recurring in nature. We had strong contributions from both Corporate Payments and Benefits, while lower fuel prices impacted reported growth in the Mobility segment.
 As a reminder, we define recurring revenue as payment processing and account servicing revenue, revenue from our factoring business, income from custodial HSA cash assets, transaction processing fees and other smaller items.
 In total, adjusted operating income margin for the company was 38.5%, which is up from 37.6% last year, driven by margin increases in both Corporate Payments and Benefits segments.
 From an earnings perspective, on a GAAP basis, we had net income of $65.8 million in Q1 or $1.55 per share. Non-GAAP adjusted net income was $146.7 million or $3.46 per diluted share, which is an increase of 5% over last year.
 Our first quarter results were solid and set us up well for the remainder of the year, as we continue to navigate a year-over-year decline in fuel prices as well as a significant increase in debt costs due primarily to higher interest rates. Like we have discussed in previous quarters, our HSA custodial cash balances allow us to mitigate the impact of higher rates.
 As a reminder, we also exited our interest rate hedge positions in December, leading to an increase in interest cost this quarter. Exiting our interest rate swaps in December resulted in an $11 million cash impact to interest expense and a 7% drag on earnings per share.
 In addition, the foreign exchange rates and lower fuel prices resulted in a negative $20 million impact to revenue this quarter versus last year or an approximate 9.5% drag to earnings per share.
 Our ability to continue to grow earnings per share despite the drag from exiting the swaps and lower fuel prices is a testament to our diverse vertical focused businesses, strong recurring revenue and balanced interest rate exposure, allowing us to sustain durable through the cycle revenue and earnings growth.
 Now let's move to segment results, starting with Mobility. Mobility revenue for the quarter was $339 million, a 1% decrease from the prior year. Fuel prices are strong, but have retreated compared to last year, with the domestic average fuel price in Q1 of $3.56 versus $3.86 in 2023. The Q1 fuel price was slightly higher than our guidance, but the benefit we received in the U.S. was almost entirely offset by $2 million of negative spreads in Europe versus our expectation.
 While Mobility revenue declined approximately $3 million year-over-year, fuel prices had a large impact. The year-over-year 8% fuel price decline and reduced spreads in Europe decreased segment revenue by an estimated $21 million or 6%, while the underlying business continued to perform well. As we expected, excluding the change in fuel prices, revenue growth accelerated from Q4.
 Similar to last quarter, payment processing transactions remained roughly flat year-over-year, which was in line with our expectations. Local customers in the U.S. were approximately flat compared to last year, and over the road payment processing transactions were slightly above year ago levels.
 As Melissa noted, this is the first quarter in some time that OTR transactions have increased, reflecting stabilization in that business. Note that despite the fact that this was a leap year, we actually had one less business day in Q1 than last year. Overall, we were pleased that both payment processing transactions and total transaction growth rates improved from Q4 2023.
 Next, let's turn to late fees. The net late fee rate decreased 4 basis points versus the prior year. Finance fee revenue decreased $10 million or 13%, which reduced segment revenue in total by 3%. The previously mentioned decline in fuel prices, a 20% decline in the number of late fee instances that a 7% slowdown in our factoring revenue caused the decline in finance fee revenue. We believe the decline in late fee instances reflects the tighter credit policies that we have put in place.
 While these tighter policies reduce our late fee revenue, they have also resulted in significantly lower credit losses and taken holistically our positive earnings impact to the company. I will touch further on credit losses in a moment.
 The net interchange rate in the Mobility segment was 1.31%, which is up 8 basis points over our 2023 net interchange rate. The increase reflects continued benefits from the interest rate escalated causes contained in various merchant contracts, the rate benefit from lower domestic fuel prices and higher rates earned from merchant contract renewals at favorable terms.
 The Mobility segment adjusted operating income margin for the quarter was 38.6%, down from 40.5% in Q1 2023. The decline in fuel price this year is the primary reason for the lower margins.
 Moving on, credit losses decreased $24 million in the Mobility segment versus last year, and were in line with our guidance range at 15 basis points of spend volume, which compares to 32 basis points last year. Loss improved significantly compared to last year as expected. The changes that we made to our credit policies a year ago have had the intended impact in terms of reducing losses, especially with over-the-road trucking customers.
 The year-over-year decline of 17 basis points in credit loss rates more than makes up for the 4 basis point decline in our net late fee rate, and underscores the positive overall impact from the credit changes we made a year ago.
 Turning now to Corporate Payments. Total segment revenue for the quarter increased 17% to $122.5 million. Purchase volume issued by WEX was $23.9 billion, which is an increase of 29% versus last year. The net interchange rate in the segment was down 9 basis points sequentially, related to the timing of revenue recognition for network incentives earned in Q4 of last year.
 We continue to see strength in consumer travel demand that drove strong results in Corporate Payments. Travel-related customer revenue grew 30% compared to last year. The interchange rate for travel-related customers is down from Q4 due to the timing of incentive recognition.
 Outside of Travel, our Non Travel customer revenue was up 7%, driven by a 26% increase in purchase volume, showing some reacceleration in our partner channel and continued positive growth in our direct channel revenue.
 Similar to last quarter, over half our Non Travel corporate payment revenue growth came from our direct channel. The Corporate Payments segment delivered an adjusted operating income margin of 52.7%, up from 46.9% in Q1 last year, driven by continued acceleration in volume.
 Finally, let's look at the Benefits segment. We again achieved strong results in this segment with Q1 revenue of $191.2 million, which is an increase of $26.3 million or 16% over the prior year.
 As we expected, SaaS accounts were flat in Q1 versus the prior year, with the loss of the Medicare Advantage customer that we mentioned last quarter. Core market dynamics of this business continue to be strong as exemplified by the underlying SaaS account growth, excluding the declines in Medicare Advantage accounts, which was 8% year-over-year.
 The Benefits segment purchase volume increased 10%, leading to a 6% increase in payment processing revenue. We also realized approximately $51 million in revenue from the custodial HSA cash deposits that were invested by WEX Bank and from funds held at third-party banks compared to $37 million last year.
 Approximately $8 million of the revenue increase in the Benefits segment is due to the average interest rate earned on these balances, increasing from 4% last year to 4.8% this year.
 The Benefits segment adjusted operating income margin was 41.5% compared to 39.1% in 2023. The custodial revenue from the invested HSA cash deposits has very high incremental margins. It is the primary driver of this increase.
 Now I will provide an update on the balance sheet and our liquidity position. We remain in a healthy financial position and ended the quarter with $780 million in cash. We have $463 million of available borrowing capacity and corporate cash of $176 million as defined under the company's credit agreement at quarter end.
 The total outstanding balance on our revolving line of credit and term loans was $3.2 billion. The leverage ratio, as defined in the credit agreement, stands at 2.6x, which is near the low end of our long-term target of 2.5 to 3.5x. Leverage generally increases slightly in the first quarter of each year.
 Our ability to invest in the business and return capital to shareholders while also maintaining conservative debt levels puts us in an enviable position.
 Next, I would like to turn to cash flow. WEX generates a significant amount of cash each year. Using our definition, adjusted free cash flow was negative $205 million in Q1. The first quarter of each year is seasonally low for us, and the timing of the end of the quarter falling on a weekend resulted in an estimated $190 million cash flow impact and caused an even larger negative number than normal for the quarter. We expect this will reverse in Q2.
 Our primary discretionary use of cash so far this year has been to repurchase shares. We repurchased 353,000 shares at a total cost of $74 million during Q1. Since restarting our share repurchase program in 2022, we have repurchased approximately 3.9 million shares with an average cost of $169 per share.
 Looking forward, we will continue to manage capital allocation between organic investment, M&A and returning capital to shareholders.
 Finally, let's move to revenue and earnings guidance for the second quarter and full year. The first quarter was another good quarter for us and as a result of improvement in some macro factors, I'm pleased to share that we are raising our guidance for 2024 to reflect those factors and trends.
 Starting with the second quarter, we expect to report revenue in the range of $675 million to $685 million. We expect ANI EPS to be between $3.75 and $3.85 per diluted share.
 For the full year, we expect to report revenue in the range of $2.73 billion to $2.77 billion. We expect ANI EPS to be between $16.10 and $16.60 per diluted share. For the full year, these updated ranges represent an increase of $30 million in revenue and $0.20 of EPS compared to the midpoint of our previous guidance.
 The major moving pieces compared to our prior guidance are updated fuel price and interest rate assumptions and the impact of share repurchases completed. Consistent with our prior guidance, we expect Mobility revenue growth to accelerate through the year, as we lap credit changes that caused higher attrition and lower finance fee revenue.
 As we noted last quarter, we are also implementing a number of pricing changes that will help the second half of the year. We also expect corporate payments revenue growth to slow as we progress through the year. In addition, we expect a greater proportion of our cost savings program to flow through to net income as we have front-loaded the reinvestment we intended to make.
 In conclusion, we delivered another quarter of growth in our financial results, and I'm especially proud that we were able to do this in the uncertain economic environment that we are operating in. 
 With that, operator, please open the line for questions. 
Operator: [Operator Instructions] And your first question comes from the line of Ramsey El-Assal with Barclays. Ramsey? 
 All right. Your next question comes from the line of Sheriq Sumar. 
Sheriq Sumar: Yes. This is Sheriq. So on the Benefits side, I believe your guidance still remains around 10% to 15% for 2024. I mean given the potential pipeline of HSAs and even the interest rate dynamics and potential pricing impact, I mean, can you help us understand the cadence for the full year? And how should we think about the drivers for growth in 2025? I mean, do you think that we could be able to maintain these levels? Or would there be some tougher comps in 2025? 
Melissa Smith: Let me start and give a little bit of context here. This year, one of the things that we've talked about that's going to impact the year is the loss of the Medicare Advantage account. When you exclude the Medicare Advantage accounts loss, we grew our total accounts 8%, so we think that will run through the course of this year and will affect the growth rate for this year.
 That being said, we feel good about how we're growing accounts, excluding that compared to what's happening overall in the marketplace. So as we transition into next year, we expect to continue to see strong account growth and then have that be compounded by additional custodian revenue as well as some of the other ancillary fees that we are continuing to earn across the portfolio.
 So we do think -- we've talked about our long-term guidance range of 15% to 20% in that segment. And we think this year, we're going to have some anomalies that are going to affect that. 
Jagtar Narula: Sheriq, I'll just add with regard to your question about 2024. So we came roughly a little ahead of our guidance range for the year. So we just expect Benefits growth to be sort of balanced over the course of the year for precisely the reasons that Melissa said.
 We saw good benefit from census and HSA accounts in the first quarter going through the rest of the year, we should see an uplift from the normal midyear onboarding, that we see if HSA accounts and continued good performance of the HSA assets. 
Sheriq Sumar: One follow-up on the EV side. Is there any color that you could provide on the economics or any potential dilution that we could expect? Or if you see that?
 And secondly, on the competitive dynamics, I mean, where do you see it from your seat? Where do you see WEX stand at this point of time? Like are you thinking that are you ahead of the curve in terms of investments? Or do you see that there is still some patch-up that you need to do versus other peers out in the market? 
Melissa Smith: We continue to be very bullish about the impact of EP [indiscernible] in our portfolio for a couple of reasons. First of all, we see this as a new revenue opportunity. And so far, that has proved out to be true. So we're earning subscription fees for access to the networks that we've created, both in the United States and Europe.
 You've talked about the fact that we've rolled out at home reimbursement capability, which we think is market leading, and earnings subscription fees associated with that. And then as we continue to build additional functionality, which we have in our product road map, we think that gives us the ability to continue to add in future subscription fees.
 So okay, the net of that, we talked about this between $1.5 billion and $2 billion additional TAM. And I'd say from what we've seen so far, we do believe that this is going to be additive. And it's a great way to transition the portfolio into a different source of revenue over time.
 From a competitive perspective, we feel really good about where we sit competitively, in part because what we're hearing from our customers is they're going through this migration, you've got government fleets that are going through the migration, some of the largest fleets that have sustainability requirements. And then a bunch of other people that are testing in this marketplace.
 And what we know from talking to our customers is that when they are having these mandates, they're not really sure what to do next. And so we're working in much more of a consultative fashion than probably what we had anticipated. And I think that's just indicative of the fact that they're on the commercial side, people are looking for options, and we feel really good about the capability that we've built. 
Operator: Your next question comes from the line of Ramsey El-Assal. 
Ramsey El-Assal: Can you guys hear me now? 
Melissa Smith: Hello. Yes. 
Ramsey El-Assal: Yes, you can. Sorry about that. If you can hear me, I think you can.
 You mentioned that the net interchange rate in the Corporate segment, I think, fell due to timing of revenue recognition from network incentives from last year. Can you elaborate that on that a little bit? And also just help us think through how interchange rates should trend for the next couple of quarters? 
Jagtar Narula: Yes, sure. So Ramsey, what I was referring to was the decrease we saw from Q4 of 2023 to Q1 of 2024. You'll recall from the last earnings call, in Q4, we have revenue recognition related to the volume incentives that we have with the associations, and that caused the interchange rate to increase in Q4 and then back coming down to Q1, it normalized.
 Going through the balance of the year, we expect interchange rates to be flat to slightly tick up from the first quarter. There'll be some dynamics with the booking contract, but we expect flat to slightly tick up as we go through the year. 
Ramsey El-Assal: Okay. And then a quick follow-up. It looks like in the Q2 guidance, you're expecting credit loss to be a bit higher than it was in Q1 and also for the full year. I'm just curious what the dynamics there are in terms of maybe a bit of an uptick in credit losses in Q2? 
Jagtar Narula: Yes. We've built some pretty sophisticated models that help us forecast where we think credit losses are going. And we're just looking at slightly higher charge-offs in the second quarter. Based upon recent trends, nothing too alarming, but we expect as a result of those charge-offs that we'll be raising reserves in the quarter. And then as you can see from the forecast of the guide, we expect that to trend down over the course of the year.
 We've put into place some new functionality in Q1, we had a new credit adjudication model. In Q2, we've got a new automated credit line monitoring system that's going into place. So we expect credit losses to be relatively contained as we go through the year, but we do expect an uptick in Q2. 
Operator: Question comes from the line of Sanjay Sakhrani. 
Sanjay Sakhrani: So yes, congratulations on the renewals with Booking and HBX. I guess as we think about -- and I think Jagtar, you mentioned it a little bit, there's probably going to be some impact as we look at the yields and anything else. Maybe you can just help us think about the P&L impacts in terms of volumes and the take rates and such as we look out this year into next. 
Melissa Smith: Yes. Let me start just a little bit around the -- specifically the contracted booking. We're -- there are going to be some short-term headwinds, but also long-term opportunity associated with the new contract. And we couldn't be more pleased to sign this contract, Booking.com, it's the largest online travel agency in the world that's a uniquely sophisticated partner if we're going to continue to be their primary virtual card partner.
 But going forward, they're going to continue to rely upon WEX's best-in-class payments technology platform, and they're going to be transitioning and performing certain activities in-house related to a portion of the virtual card program.
 And contemplated this obviously in our guidance and Jagtar will talk more about that in a minute. But I just want to reiterate, it's a great outcome for both companies. The partnership has allowed us to scale together and we're really excited about the opportunities that we have long term. 
Jagtar Narula: Sanjay, I'll talk a little bit about what this means for interchange rate in the Corporate Payments business. So just a reminder, right, we've -- I've said that we've included this in our guide for the year. And I think I previously said in the last earnings call that we expect our Corporate Payments revenue to grow in the high single digits this year, and this new contract has not changed our expectations.
 So if you look at what we did in the first quarter, we grew 16% year-over-year in Corporate Payments. And so that -- as I said in my prepared remarks, implies that we expect to trend down over the course of the year. This Booking contract doesn't change that expectation that's embedded in that outlook.
 So let me start with the accounting impacts to this. So today, Booking volume is recorded as payment processing revenue, and it will continue to be under the existing contract. But as it transitions to the new program, we expect a portion of that volume to transition to this new program. In this new program, it will no longer be recorded as payment processing revenue. And instead, it will be recorded as account servicing revenue.
 So the result of that will be that volume that transitions to the new program will not be included in our purchase volume metric that we report or net interchange rate, although you will still see it included in our total volume metric that we published.
 So we're obviously in early days of this transition and much remains to be seen on how it flows through in the timing factors. But our current expectation, as I said, earlier to Ramsey is that our total interchange rate for Corporate Payments for the full year will be stable to slightly up from the rates that we saw in the first quarter.
 And while the timing could still shift, what we're currently expecting is that Corporate Payments purchase volume will grow in the high single digits for the year, inclusive of that reduction in reported volumes related to the Booking transition.
 So with that, that rate and volume, that gives you our expectations for Corporate Payments purchase revenue and then the remaining bridge to our full year guide is really the expected corresponding increase that we expect in the account servicing revenue related to Booking. 
 So just to reiterate what Melissa said, we're really excited about this contract. We've got a great customer, a long-term relationship. This continues that long-term relationship. And we see additional revenue opportunities working with them. So we're really excited about this. 
Sanjay Sakhrani: Okay. And just to clarify, you guys see this as net accretive to the growth rate on a go for -- I know there's transitory stuff this year. But as we look out 2025 onwards, is this renewal net accretive, stable or dilutive to sort of revenue growth in that segment? And then I have one quick follow-up on just something you said, Jagtar. 
Melissa Smith: It's a headwind in the short term. We think it's a benefit over the long term. 
Sanjay Sakhrani: And when you say short term, [indiscernible] even into next year or just mainly this year? 
Melissa Smith: Well, as they go through the migration, so there's going to be a period of time. And again, this is a piece of the portfolio that they're going to bring in-house. And the timing of that is uncertain. So we're giving you our current expectation.
 So it's really going to depend on how much transitions and when it transitions? And so again, we're giving you our current thoughts right now. 
Sanjay Sakhrani: Got it. Got it. And then just one of the questions I've gotten is just that back-end EPS guide. It seems like the revenues and EPS sort of delinking a little bit. Jagtar, you mentioned you sort of front ended the investment and front-loaded the investments, but the back end, you get the cost saves. So that's more you have a decent amount of visibility and into that EPS trajectory in the back end, assuming the revenues are correct, is that right? 
Jagtar Narula: That's right, Sanjay. So we've got -- if you look at the back end, it's roughly based upon what we guided in Q2 in the full year, you talked about $75 million increase in revenue in the second half, and that's related to the things we've talked about, pricing, volume, et cetera.
 And then you've got the cost reductions that we have talked about repeatedly that we expect to start flowing through in the second half, whereas we front-loaded the cost reductions we've seen with some of the investments that we've talked about before. 
Melissa Smith: We also had the step-up in credit loss we were anticipating in the second quarter. 
Jagtar Narula: Correct. 
Operator: Your next question comes from the line of James Faucette with Morgan Stanley. 
James Faucette: Great. I wanted to ask, just how we should be thinking about the mix between Travel and Non Travel revenue and Corporate Payments over near to medium term, especially with some of these model transitions, et cetera? 
Melissa Smith: So written now about 55%, 60% of revenue is travel and about 70% of the spend volume, relates to Travel, the rest, obviously, is Non Travel.
 Over time, we are expecting from a spend perspective, and again, in this case, I will talk about total spend, just to [indiscernible] cleaner that you wouldn't see a big deviation. We've seen, obviously, like a big uptick over the last couple of years in travel spend with a rebound from the pandemic.
 We do think that, that will continue to normalize as you progress through the course of the year. And I think Jagtar talked about the moving parts of how the pieces are going to move through our P&L in a way that you can actually go through to do the math to give you the current expectation. 
Jagtar Narula: Yes. I'd just add. So I gave sort of what we expect for total volume -- purchase volume through the year. I would say that we expect the rates of Non Travel purchase volume to be fairly stable over the course of the year. So the real net to that and the total volume number I gave is really the Booking transition. 
James Faucette: Got it. Got it. Got it. And then I just wanted to touch quickly on in the Benefit side and the HSA, just so I can better understand what's happening there. You've seen growth there in cash assets, but that seems to be beginning to normalize. And the growth has still been quite strong, though it came in at 14%, I think, in the quarter.
 Melissa, you've spoken to Devenir's HSA estimates in the past. But curious how you're thinking about the level of HSA growth we should be expecting for the rest of '24 and the '25? And as part of that, I guess, tied into that, what kind of assumptions are you making about rate cuts and impact on yields on those balances for the rest of this year? 
Melissa Smith: Why don't I start, and Jagtar hit the rates at the end. Yes. So as we go through the course of this year, we anticipate to continue to outgrow the marketplace in terms of our account growth. So it really focused around continuing to move our sales through our pipeline and making sure that we are delivering that through the course of this year. So our objective is to outgrow what happens from a market perspective.
 And then as we have added in the custodial rights capability to be able to make sure that we're earning accretive revenue associated with that, as well as added through the Ascensus acquisition, the ability to add in additional products like compliance products, we have our Benefit administration products. And so continuing to cross-sell those across the portfolio, including our core growth capability, which has been a really strong cross-sell that we've had -- since we added that capability.
 And from a rate perspective, do you want to talk about that? 
Jagtar Narula: Yes. So what we've included in our guidance, and I think in our earnings presentation is that we are basically forecasting in line with the market expectations. So at the beginning of the year, we had said 5 rate cuts is what we expected. We've changed that as, I think market expectations are now down to about 2 rate cuts this year. So that's what's included in our guide.
 I would say, with regard to the HSA balances, the majority of our balances are in fixed rate instruments. So we don't expect any rate cuts to impact those. The part of our portfolio that's in floating. Obviously, that's part of our revenue guide increase for the balance of the year since we're expecting less rate cuts as we go through the year.
 But as I've talked about in previous calls, we tend to manage the fixed versus floating rate exposure, so that it's effectively P&L neutral once you take it all the way through the P&L and look at corporate debt. So we'll have some revenue impact, it doesn't have a bottom line EPS impact. 
Operator: Your next question comes from the line of John Davis with Raymond James. 
John Davis: Melissa, obviously, you called out the X, the account growth and benefits [indiscernible] the loss of the Medicare Advantage customer being about, let's call it, 1.5 million accounts or so. How should we think about the revenue impact within benefits this year of that customer loss? 
Melissa Smith: It's still a couple of percent in the course of the year for the full year. 
John Davis: Okay. So a couple of points to benefits growth, just to be clear. 
Melissa Smith: Yes. 
John Davis: Okay. And then just Jagtar on Mobility margins. First time, I think margins have dipped below 40% in a while, and I know you called out lower fuel prices. But maybe just help us think about what the trajectory of margins from here in Mobility and how we should think about the full year? Any color there would be helpful. 
Jagtar Narula: Yes, sure. So we should expect margins to improve overall as we go through the year. I think, right, we've got higher fuel prices that we're forecasting over the balance of the year. We're expecting improvements in late fees as we go through the year, some of the drag that we've seen will become less of a drag. And then we're expecting a better interest rate environment as we go through the balance of the year.
 So all those things should help margins will have a little bit of an impact in Q2 because we are forecasting those higher credit losses, but that should improve as we get to the second half. 
Operator: This question comes from the line of Nate Svensson with Deutsche Bank. 
Christopher Svensson: I just kind of wanted to follow up on that last question there. I was hoping you could remind us some of the underlying assumptions on the revenue growth within Mobility. So I think before you had talked about 8% macro adjusted growth, including about 2 points or so from Payzer. So I just wanted to make sure that, that was reiterated for this quarter.
 And then maybe some of the underlying assumptions there. You mentioned late fee increasing. I guess, the headwind getting better in the back half of the year, but maybe some of the other assumptions like gallons of fuel growth, expansion and payment processing rate. Any way for -- that'll help us, that would be helpful. 
Melissa Smith: Jagtar is going to go into that in detail. But before he starts, one of the things that was really important to us was to see the step up in the first quarter. You talked about the fact that we had an impact of negative spreads in Europe that impacted the quarter, which offset the positivity that we had for steel prices.
 But in terms of revenue growth, going from our growth in the fourth quarter to the incremental growth that we saw in the first quarter was part of the plan that we had as we were progressing through the course of the year. So we are pleased with the number that we posted this quarter. 
Jagtar Narula: Yes. I'll jump in here. And I just want to emphasize what Melissa just said, right? So we've guided to top end of our long-term range, so call it 8% growth. In Mobility, first quarter, we saw 5%, which was a tick up from below 2% that we saw in Q4. So that was -- and sorry, that's ex fuel prices. But that's exactly what we expected to do, and we're quite pleased to see that.
 So as we think through the rest of the year, high end of our range at 8%, Payzer's expected to contribute to. And the rest of it comes from the things that I talked about in the previous call that we saw come to start to come to fruition in Q1.
 So part of it is the pricing levers that we've pulled. We saw that coming through in the rate in the first quarter. Part of it is the impact from the credit losses that we saw a couple of years ago and the actions that we took last year, dampened both volume growth because of higher attrition as well as late fees because of improvements in the portfolio. Both those items we expect to lap this year.
 We didn't quite see this as much as Q1 because it's more of a Q2 and beyond item. So we should start to see that as we go through the year. So those 3 things that I just mentioned, fuel prices -- sorry, late fees, volume and pricing are all what we're expecting in Q2 through Q4 of the year. 
Christopher Svensson: Super helpful. Appreciate the color. I guess my follow-up, maybe a 2-parter on Corporate Payments. I think last quarter, you had talked about a better virtual card attach rate within your Travel business. So I guess any update on how that trended this quarter and how you see that going forward?
 And then I guess the second part, you made a couple of comments in your prepared remarks on this, but more color on your direct sales efforts in Corporate Payments. So any additional information on the benefit you're seeing from the direct sales force or selling your AP product in the midsized businesses would be helpful. 
Melissa Smith: Yes, we'll take them on this one, too. So we don't continue to see the benefit of the migration to the merchant model, which I think is what you're talking about within our European customers. And so that has been a benefit.
 Although I will say in the quarter, the oversize of the growth came from outside of Europe in this particular quarter. And most of the increase in spend volume was because of transaction growth. So, rates seem to have normalized. It was only about a 4% increase in rate year-over-year. So again, it feels like we're getting back into more of a normalized environment.
 In terms of sales, half of the growth came from our direct sales outside of travel in our Corporate Payments business. And so we feel good about how we continue to build the pipeline there and continue to execute and deliver, and that we've got a sustained growth engine at this point in time that's continuing to deliver each quarter.
 And I would say that's true within Travel too as well. We continue to build the pipeline we have there, working with our existing customers, look for opportunities. You talked about some of that during the call, but it's an area that we're going to continue to focus on as well. 
Jagtar Narula: Yes, I'll just add to that, that -- we're extremely pleased with the growth of that direct business this quarter. This is the second quarter in a row where over half of our Non Travel related payment processing revenue came from the direct business.
 And overall, if I look at our payment processing revenue trends for Non Travel, this is the third quarter of trending upwards. So we were quite pleased to see that continuing trend. 
Operator: Your next question comes from the line of Mihir Bhatia with Bank of America. 
Mihir Bhatia: I actually wanted to start by going back to following up on Sanjay's question. You mentioned some of the short-term headwinds from the Booking renewal. But can you just talk about the longer-term opportunity there? Is there additional volume you'll be getting for them -- from them longer term? I'm just trying to understand the benefit for WEX from the renewal, beyond obviously locking up such a large customer. But what is the opportunity side of that contract renewal look like? 
Melissa Smith: Yes. Let me talk about a couple of things here. First of all, I think it's important to distinguish Booking because it is a highly sophisticated customer. They have a unique capability set in this marketplace. And so what we're doing with them, we feel like it's a great partnership, we're bridging them to their capability.
 In terms of the opportunity for us, again, this long-term relationship, we are the primary provider over that long term. We are continuing to work with them on other areas across their portfolio, which we do believe will create opportunities. 
Mihir Bhatia: Okay. And then maybe like switching to guidance a little bit, right? Just trying to understand big picture, right? What's changed here, right? The fuel price assumption increased like $0.09, which based on the framework you gave last quarter should be about $0.27 of EPS, right? But EPS only going up $0.20.
 It looks like revenue guide is increasing more than just the fuel price tailwinds from that framework. So it looks like you're maybe getting a little bit better revenue than you expected at the start of the year. But costs may be coming in higher. Is that the right way to think about it? I'm just trying to understand what's changed really if I remove the macro or the fuel impact? 
Jagtar Narula: Yes. So what I would say, Mihir, 2 items. So if I start with the revenue, 2 macro items are impacting revenue. One is fuel prices. The other one is interest rates. And our -- as we said in the last call, right, I assumed originally 5 rate reductions this year. Now we're assuming less than that. So that has a revenue impact because of merchant contracts and HSA assets. So the fuel-related changes you see flow through to earnings, the interest rate-related changes you see in the revenue line.
 But as we've talked about before, we managed our business to be interest rate neutral at the EPS level. So you don't see those flow through to changes because they're basically counteracted by interest cost increase we expect in the corporate debt.
 So largely the fuels flowing through we had in the first quarter market movement, that impacted our first quarter number. That was about $2 million. And so that's largely the delta that you see between the $0.27 you'd expect and what you're seeing in the actual EPS increase. 
Operator: That concludes our Q&A session. I will now turn the conference back over to Steve Elder for the closing remarks. 
Steven Elder: Thank you, operator, and thank you, everyone, for joining us today. We'll look forward to sharing our progress in the second quarter, coming up soon. Thank you. 
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.